Operator: Welcome to the LeMaitre Vascular Q4 2025 Financial Results Conference Call. As a reminder, today's call is being recorded. At this time, I would like to turn the call over to Mr. Dorian LeBlanc, Chief Financial Officer of LeMaitre Vascular. Please go ahead, sir.
Dorian LeBlanc: Thank you. Good afternoon, and thank you for joining us on our Q4 2025 conference call. With me on today's call is our CEO, George LeMaitre; and our President, Dave Roberts. Before we begin, I'll read our safe harbor statement. Today, we'll be making some forward-looking statements within the meaning of the U.S. Private Securities Litigation Reform Act of 1995, the accuracy of which is subject to risks and uncertainties. Wherever possible, we will try to identify those forward-looking statements by using words such as believe, expect, anticipate, pursue, forecast and similar expressions. Our forward-looking statements are based on our estimates and assumptions as of today, February 25, 2026, and should not be relied upon as representing our estimates or views on any subsequent date. Please refer to the cautionary statement regarding forward-looking information and the risk factors in our most recent 10-K and subsequent SEC filings, including disclosure of the factors that could cause results to differ materially from those expressed or implied. During this call, we may discuss non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures discussed in this call is contained in the associated press release and will be available in the Investor Relations section of our website, www.lemaitre.com. I'll now turn the call over to George LeMaitre.
George LeMaitre: Thanks, Dorian. Q4 featured 16% sales growth, a 71.7% gross margin, and 47% op income growth. Q4 sales were led by grafts, up 27%, valvulotomes up 20%, and shunts up 18%. EMEA grew 29%; APAC, 20%; and the Americas, 10%. Artegraft grew 29% worldwide in Q4 as our OUS launch continues. We now have approvals to sell Artegraft in 52 countries. International sales were $1.9 million in Q4 and $4 million in full year 2025. We expect to sell approximately $10 million of Artegraft internationally in 2026, contributing $6 million of sales growth for the year. In Q4, RFA vascular grew 19% and RFA cardiac grew 90%. As a reminder, we currently distribute RFA tissues in just 3 countries: the U.S., Canada, and the U.K. German distribution should begin in Q2, and we now expect to receive Irish approval in Q3. We also plan to file for approval in Austria, Holland, Belgium, Spain and Switzerland this year. On a related note, we will be consolidating our Chicago RFA facility into Burlington in 2026 as we seek to simplify operations and reduce costs. We ended 2025 with 160 sales reps, up 5% year-over-year, and we plan to end 2026 with 170 to 180. We also expect to go direct in Poland in Q4. We've begun hiring a Polish general manager. This project will include an office, warehouse, customer service team and several sales reps. We currently sell approximately $650,000 a year to our Polish distributor, and this will be the 32nd country where LeMaitre sells direct to hospitals. As mentioned on our November call, the 2026 U.S. price list reflects a blended 8% increase across the portfolio. On January 1, the price increase was installed and early results indicate hospital acceptance. Our U.S. customer service team tells us that this year's transition has been smoother than in years past. Our European customer service team also reports positive customer acceptance to a similar January 1 price increase. 2025 was another year of operating leverage at LeMaitre. Sales were up 14% and op income was up 30%. And our 2026 guidance indicates another nice year on the horizon, 12% sales growth and 21% adjusted op income growth. We recently hung our 5-year goals on the conference room wall. We call them the 2030 planks. Our playbook remains simpler: produce quality devices, build our vascular sales force, go direct in new countries, acquire niche products and focus on profitability, cash flow and dividends. I'll now turn the call over to Dorian.
Dorian LeBlanc: Thanks, George. Q4 organic revenue growth was 15% with 9% price growth and 6% unit growth. Organic growth was broad-based both by geography and by product category. In Q4, our gross margin increased 240 basis points year-over-year to 71.7%. This increase was a result of higher ASPs and manufacturing efficiencies. Operating expenses in Q4 were $27.4 million, a 6% year-over-year increase. Our margin expansion and moderated expense growth in Q4 led to operating income increasing 47% year-over-year to $18.8 million, and operating margin of 29%. Q4 fully diluted earnings per share were $0.68, a 39% increase year-over-year. Our Q4 EPS includes a onetime loss on a mark-to-market adjustment in our investment portfolio of $0.5 million for an investment that has subsequently been sold. Overall, 2025 was a year of 14% organic revenue growth with 9% price growth and 5% unit growth. Adjusted gross margin of 70.4%, a 180 basis point improvement over 2024, adjusted operating margin of 26%, and adjusted EPS growth of 23%. Our adjusted numbers exclude the onetime benefit from the employee retention tax credit received in Q3 2025. We ended 2025 with $359 million in cash and securities. Our free cash flow, cash from operations less capital expenditures in 2025 was $74.5 million. In January 2026, we experienced a cyber incident that affected certain of our systems and data. We securely restored our critical systems and experienced minimal to no disruption in sales to our customers or in the manufacturing or release of product. We do not believe the incident has had a material impact to our financial position or results, and we believe we have adequate insurance coverage. The estimated impact is reflected in our 2026 guidance. However, our review of the incident remains ongoing, and we are subject to various risks described in our SEC filings, including in our upcoming Form 10-K. On February 19, our Board of Directors approved a new $100 million share repurchase program and a Q1 2026 dividend of $0.25 per share, an increase of 25% year-over-year. This is our 15th consecutive year increasing our dividend. Our increasing dividend underscores our continued focus on profitable growth, and that commitment is reflected in our 2026 guidance. We anticipate full year 2026 revenue of $280 million, organic sales growth of 12%, a gross margin of 72.1% and operating income of $77.8 million, up 21% adjusted from a very strong 2025. We are guiding EPS of $2.91 per share, up 22% adjusted. The manufacturing transfer of our Chicago RestoreFlow processing to Burlington and the opening of our new 34,000 square foot warehouse will drive an increase of CapEx to approximately $11 million for the year. Our guidance implies a constant euro-U.S. dollar exchange rate of $1.18 for the year and an anticipated yield on our invested cash of 4%. The LeMaitre franchise delivered in 2025 with a focus on niche markets, our direct-to-hospital sales model, our growing commercial organization and our disciplined expense and capital management. Thanks to our focused and dedicated global teams, we believe we are poised for another successful year in 2026. Finally, we would like to welcome Kyle Bauser to the call. Kyle has picked up the coverage of LeMaitre at ROTH. Thank you, Kyle, and we look forward to the continued coverage. With that, I'll turn the call over for questions.
Operator: [Operator Instructions] Our first question comes from Kyle Bauser with ROTH Capital Partners.
Kyle Bauser: Thank you for the welcome. It's a pleasure to be following the company. Maybe I'll just start off on guidance. Really nice finish to the year, continued operating leverage. 2026 looks to have some nice continued operating leverage in the business. Can you maybe rank the factors that will be key to achieving the operating growth kind of that's north of what the sales growth rate is, just kind of explain the leverage in the business?
George LeMaitre: Sure. This is George, Kyle. How are you doing, and welcome to the call and welcome to covering the company. Yes, maybe looking backwards, it's a little bit of a look at the leverage, but we've been pretty good at keeping headcount at a fairly stable level. We've been good at growing our sales pricing, our ASPs to the customers. You've seen that again here at the beginning of 2026 in our gross margin. We're getting a little more efficient also manufacturing our products. So old-fashioned operating leverage was what we showed last year. To get to that was at 14% sales growth and 30% profit growth, and we expect more of the same next year.
Kyle Bauser: Got you. I appreciate that. And George, in your prepared remarks, you talked about the 8% blended increase for this year in prices, and it sounds like this year's transition was smoother than in the past. I guess any additional color around maybe why it was more difficult in the past, and more over kind of the outlook for future price increases? Is 8% still kind of what you're looking for going forward?
George LeMaitre: It's always on everyone's minds with us. So let's talk about prices a little bit. So this year, we decided to send the price list out on November 1 instead of December 1. And I feel like that gave everyone a little bit more time, the sales reps, the customer service reps, and the hospital purchasers, time to prepare for the transition in January. So we had a really nice transition, really smooth transition. But it may also be worth pulling out, everyone's like, well, is this business as usual? And I think why I'm calling it out in my script is I just want to communicate to folks, it feels like business as usual -- maybe a little smoother than normal for bureaucratic reasons, but it feels like business as usual, and the U.S., what I'll call, rack rate price list increases. Kyle, you're new to this group, but we've read them out sort of in January previously -- or sorry, the first call in February previously, so I'll do it again here. But in '22, we had a 6.1% price hike for the U.S. hospitals, 5.6% the next year, 5.8% the next year, 8.1% the next year, and finally, this year, 8.3%. So it's been getting a little bit higher, but I would call this business as usual in the U.S., and we're getting word back from our European colleagues that it's business as usual as well over there.
Kyle Bauser: Okay. Appreciate it. And then just quick lastly, I think reps, 160, you expect to end the year at 170 to 180. Do you anticipate -- what does the cadence look like there? Is it kind of steady, evenly distributed across the year, more back-end weighted? Just curious.
George LeMaitre: Right. Kyle, of course, you bumped into this one. So I had been giving this quarterly, and I think this is the first time we're going to try not to give this quarterly and just give it annually. It's really hard to keep track of individual sales reps and when they're going to quit and when they're going to get hired and things like that. So I think we're not going to try to give you quarterly check-ins exactly -- we may check in with it, but we won't tell you what we're trying to get to. I think you can think broadly that we're trying to tell you we're going to grow our sales force. And you already know a couple of them are going to be in Poland as well. So that includes the Polish move that we talked about in my script. But I hope that suffices, something like 170 to 180 at the end of the year.
Operator: [Operator Instructions] Our next question comes from Rick Wise with Stifel.
Frederick Wise: Great to see the excellent quarter. A couple of things. You highlighted in your starting remarks sort of who we are and what we do, the M&A, we acquired niche products, et cetera, et cetera. Hate to always hit the M&A question, but gosh, what a great job you're doing with cash generation, $359 million. Surely, all things equal, that number is going to be higher in 12 months, depending on how you manage the share buybacks. But how do we think about the setup for M&A in '26? How important is it to you now? What are you thinking about?
George LeMaitre: Maybe I'll give you a quick intro and then Dave will handle most of it. Obviously, Dave is here. I would say, in a good way, one of the things we've been trying to prove over the last 5 years is that this company was a great operating company by itself and didn't have to rely on M&A. And I think the proof is in the pudding, we've had all these years of the organic growth rate of 17%, 13%, 14% and now who knows what happens this year. So we have had a bit of a chip on our shoulder about trying to prove to you guys that we could do it organically. But of course, we went out and raised all this money. We're really in the game for M&A. Maybe Dave can expand a little bit more on how he sees the field right now.
David Roberts: Yes. Rick, thanks for the question. Obviously, the center of the fairway for us is still that open vascular area where we get 80% of our revenue. There are about 22 targets there, I think, as we've talked about. And frankly, we're in discussions with all of them, some more actively than others. But it's not that broad of a universe. So as you also know, we've started looking for acquisition targets in the cardiac surgery field, and that's 12% of our revenue. The sweet spot for us is revenues of anywhere from, I don't know, $15 million to $150 million. And I think some of the larger ones might be -- there are a few large ones in open vascular, but some of the larger ones are in cardiac surgery. Do I feel more pressure to do an acquisition? I don't know. I feel it's always the same. I always feel a lot of pressure to do a good acquisition. But in terms of the timing, I would say, it's nice to have cash, because the cash creates optionality, allows us to look larger. But as I've often said, it's more important to do a right acquisition that might not be as large than to just use all the cash. That's not what we're here to do. We'd love to find a great large acquisition, but we're looking for the right acquisition.
Frederick Wise: And one more for me. Just maybe you could unpack the stellar really Artegraft performance in the quarter, and you highlighted a couple of points, but just help us understand, so 2 things, one, maybe is the TAM, is the opportunity perhaps bigger than the $8 million in Europe, for example, you talked about in the past? And I mean, you're already at $2 million quarterly run rate in the fourth quarter, I think, if I remember saying it right. But how sustainable is this? Any updated thoughts on the TAM?
George LeMaitre: Okay. So Rick, we knew we're going to have to get to this, and I would say I just take the blame for that one. We put that TAM out there. I guess we didn't exactly understand what we had in our hands, and it's a lot better than what we thought. So for fun, again, this is not too scientific, but maybe we're going to call the TAM $30 million now instead of $8 million, and that's new for this phone call. So thanks for calling us out on that. You're right on that. The TAM, you can also add up right now. We're already -- forget about TAM, but the actual market that we're selling right now. Remember, we have that Omniflow ovine graft, that sheep graft, it's a piece of it. And then we also have this new thing, the Artegraft in Europe, which you now know is $4 million. And the other one is $6 million. I'll give you that on this phone call. We're looking backwards, it's always sort of okay, not going forward. So there's 10 million right there. And maybe we call the TAM $30 million right now. It's going great. I think it's ahead of expectations. The doctors are more excited about it. In some ways, the Omniflow, which is the ovine sheep product, sort of it smooths out the path for the doctors to be ready for the ovine version, which is more robust and, I would say, more healthy, less prone to post-implantation issues and things like that. So all good stuff over there. The market is ready for it, and we have a fantastic sales force of about, I think, 55 reps over there maybe right now -- 55 or 60, I should know the number. 55 reps over there, Rick. So yes, we're ready to go. We keep going direct in all these new places. It feels great. It's a great launch at the right time for that company. And you could see what happened last year. Organic growth in Europe is 17%. Is that quarter or is that year?
David Roberts: Year.
George LeMaitre: That's year. Okay. Yes. So 17% organic growth driven a lot by that product line. Hope I gave you what you wanted, Rick. Dave, do you want to add something about the different products maybe?
David Roberts: I might add, Rick, that Artegraft in the U.S. is used primarily for dialysis access procedures. And in Europe, the algorithm for dialysis treatment is fistula first and then frankly, they go right to a catheter, which is difficult for patients due to the infection risk. They skip over the middle step that we have in the U.S., which is to implant an access graft, and that's where Artegraft has really shined. So in Europe, Omniflow, the graft that George is referring to, is used predominantly as a leg bypass graft. And we're seeing, in early days, Artegraft, the hospitals and doctors are ordering the longer ones for use in the leg. I think we'll be developing the market for AV access graft, dialysis access graft in the arm, but we believe it's there strictly because we see the success in the U.S., and the patients' benefit. So I think we're delighted by the uptake of Artegraft in Europe and outside the United States now. And I think we have a long-term growth potential there by expanding the use of it more into dialysis access.
Operator: Our next question comes from Michael Petusky with Barrington Research.
Michael Petusky: So George, I guess I'm curious about Europe and the strength there. And obviously, Artegraft gets some of the credit. But I'm just curious, do you feel like the way you guys approached MDR and sort of really got after when some other competitors didn't or just decided to sort of throw in the towel on some products. I mean, is that part of what's driving that too? And if that's the case, I'm just wondering how -- any anecdotes about picking up share and that sort of thing?
George LeMaitre: Sure. Okay. So it's a little bit of that. We've been pretty aggressive with MDR. In fact, just to sit on that point for a second, we got our final necessary MDR approval for our PTFE LifeSpan product. We couldn't be more excited about that. I think we have 22 approvals and our regulatory gang has just done a knockdown job getting those things early for us. As to whether it's taking share because other people have fallen down on the job, other companies have not gotten their approvals. I think early on, we were getting worried that, that was the case. I don't have additional stories. You heard a lot about our shunt where we were sort of left as the only man standing for a while. I think 1 or 2 of them are coming back on the market now. But I would say, we're thrilled where we are MDR-wise. I don't have new stories about material players dropping out of the market vis-a-vis MDRs. I will tell you, every time a company gets acquired in and around our space, I think the Edwards' embolectomy catheters were acquired by BD 1.5 years ago, somehow the larger companies that they get traded into, they don't treat these as well and they leave opportunities for us. So maybe we have some opportunities around catheters because a very large competitor now owns the Edwards catheters. But of course, Edwards is large to start with. So no new great war stories there. Just maybe we go direct, where we went direct in Portugal last year, we went direct in Czechia, you're hearing us talk about Poland. We're really covering the map over there. And at some point, we're going to be one of the largest vascular distribution channels in Europe. So maybe that always plays into our health over in Europe. I don't know.
Michael Petusky: Okay. Great. Let me ask one more question, my almost obligatory question on China. I know it's a tiny market for you, but I also know you're trying there. And I'm just wondering, any updates in China?
George LeMaitre: Sure. And I think for the last 3 or 4 calls, Mike, and I appreciate you staying on the topic, it's been good news over there. And I got another good one for you, which is I think we were up 24% in revenue in Q4. It's happening there for us as just a regular company. We're a $2 million company over there. It's small versus our guidance this year for revenues is $280 million. So you and I are now talking about a $2 million entity inside of a $280 million. So it's small, but it's growing like you'd expect it to grow in China. We're over the tariff thing. The way we got over that was we just raised prices. That's helped us a lot over there. We're profitable over there now for the first time ever. I think Q4 was a profitable quarter. And that's saying a lot. That's having come a long way from losing $1 million a year over there on regulatory filings. The one sort of, I don't know what you say, negative over there is that we went over there to get XenoSure cardiac approved, and we got it approved after a long arduous clinical trial. And then quite honestly, it's been a big nothing burger over there. So it's not happening because of that. It's happening because of everything else. We also separately have now finalized our application for XenoSure Vascular in China. We shall see what that leads to. I don't want to make a big deal out of it here. But as an organic operating business, forget about XenoSure and all the clinical trials on that. It's going great over there. We're thrilled. We've got a new manager, he started about 1.5 years ago or so. He's doing a fantastic job.
Michael Petusky: Okay. Great. I've got to ask this because I sort of almost can't believe the number. The 20% valvulotomes, I mean, I think that product came out when I was roughly in college. I may be exaggerating, but it's pretty close, I think. How do you put up a 20 plus 20 on a product that's been around 3 decades or more?
George LeMaitre: Right. I mean, it's just a lot of focus, and we have the perfect channel. The whole channel was built around valvulotomes. For how long we've been at this, you're talking about that, I've been here 33 years, and we've been building brick by brick, a channel that's supposed to sell valvulotomes and then other stuff that Dave would buy. So it's a perfectly built channel for that. But you don't want to get too far over your skis on it. Yes, we had a great quarter, but units are roughly flat. We're not here in a market that's growing fast. So I don't want to oversell everything here. But yes, it keeps working for us. I don't know what the unit number was in Q4. We had a 20% organic -- no, 20% reported sales number in Q4.
Dorian LeBlanc: 17% organic.
George LeMaitre: 17% organic. And I can't right now break that down for your units, Mike. I will say, in general, it's a flattish unit market, and we're doing it by spreading our wings around the world and finding new opportunities.
David Roberts: Mike, it's Dave. I would just add that the procedure in which a valvulotome is used is a peripheral vein bypass. And I agree with George, we don't want to get over our skis, overexcited. But a couple of years ago, there was this huge study done here in the United States, this BEST-CLI study from the NIH. And it showed this peripheral bypass was a more robust procedure. It held together longer with less complications, et cetera, than endovascular. Now the big endovascular companies, they have the marketing firepower to grow their businesses, no question. But if you're wondering why the valvulotomes are resilient and the units are staying flat and not going away in the face of a lot of endovascular competition and alternatives, I would say it's because it's a procedure that works. And so yes, good for us to have a good product offering in a procedure that works for patients long term.
Michael Petusky: Okay. Great. And actually, you just brought to mind, I just want to ask before I get off, did you give the split between unit growth overall, not just for value, but overall for the company in the quarter?
Dorian LeBlanc: Yes. This is Dorian. Mike, we did. It was 9% price, 5% units.
George LeMaitre: That's for the year of 2025; and in the quarter, 9% and 6%.
Operator: Our next question comes from Jakub Mlejnek with Oppenheimer.
Jakub Mlejnek: Just to start with, what impact do you envision the CREST-2 trial in carotid revascularization to have on your carotid artery stenting business? And has that been -- or how has that been factored into the guidance?
David Roberts: Jakub, it's Dave. Thanks for the question. It's funny. We just had a record quarter for our carotid shunt business. And so how do you square that with the fact that CREST-2 came out? And I'll get to the takeaways in a second. But to give you a sense of the scale, 15% of LeMaitre's worldwide sales are used on carotid procedures. Those are shunts and patches. We get a little over 50% of our revenue OUS, but 80% of our shunt units are sold OUS. And so these CREST-2 results, that's another NIH trial, I don't know how long it will take to impact our U.S. business. Our U.S. business has been impacted by TCAR, that alternative stenting procedure, for a while. So I think we're really well positioned because we're so diversified geographically. And then I'd also just -- CREST-2 is a Level 1 NIH study. But I would emphasize that if you peel back the onion, the exclusion criteria for stenting, they were able to exclude patients with long lesions, calcified lesions, tortuous arteries et cetera, et cetera, whereas the carotid endarterectomy cohort did not have lesion-based exclusions. And so it was a little bit of an apples and orange comparison. And it turns out if you just had 3 of the patients in the stenting -- of the 600 patients in the stenting cohort have incidents after their procedure, there would have been no statistical benefit to stenting. And so it was really pretty close to a jump ball. And then when you factor in the exclusions, I think we have to see where this goes long term. But in the meantime, I think we're pretty well positioned. Our carotid shunt business is kind of transitioning into an OUS business. And I think it's resilient for a long time to come.
Jakub Mlejnek: Got it. Yes. I appreciate all the color on that. And then I guess back to the price versus unit growth, would you be able to break out for this last quarter, the price versus volume contributions within the various categories?
George LeMaitre: Jakub, we've tried to stay away from that just for simplicity. So no, we'd prefer not to, if you don't mind.
Operator: Our next question comes from Michael Sarcone with Jefferies.
Michael Sarcone: I guess I just wanted to start on the gross margin side, do you think you can walk through the puts and takes as we make our way through 2026? It would be helpful to get some color there.
Dorian LeBlanc: Yes. Mike, thanks. It's Dorian. And I think you saw a really nice step-up throughout 2025. We had an 80 to 90 basis point step-up each quarter. And when you adjust out the benefit of that tax credit, which on a reported basis gave us an extra 110 basis points. So we're up 180 basis points from 2024 to 2025 adjusted, and we're guiding to be up 170 basis points from 2025 to 2026. So we're seeing a nice continuation of that gross margin story. And obviously, we get the benefit from the pricing increases coming through. We've done a nice job of getting underperforming products out of the bag. We got rid of the [ ZEO ] midway through the year. So that helped with that cadence of improvement in the gross margin in the second half of the year. But we've got some good manufacturing efficiencies that have come through. And all that offsets the normal inflationary pressures in cost of sales, but also some of that mix of the OUS business growing faster than the U.S. business. And we all know that the U.S. business has higher ASPs in general. Back half of the year, we'll have a little bit of pressure from the manufacturing transfer for the RestoreFlow business and a little bit of pressure from opening the new 34,000 square foot warehouse we have here near the Burlington headquarters. But overall, it's just been a great gross margin story for us, up 180 and guiding for another up 170.
Michael Sarcone: That's great. I guess a second one for me, and I apologize if it's been asked, but hopping between calls. Just any update on the M&A environment and what the pipeline looks like there?
David Roberts: Yes. Mike, I answered the question a little bit earlier for Rick, but the summary is, the pipeline is in good shape. We're pretty busy these days, still hunting in open vascular surgery, where there are 22 targets, and cardiac surgery as well. But yes, the revenue sweet spot, as I mentioned, $15 million to $150 million. Yes, we're out hunting. And as soon as we have anything to report, we'll report back.
Operator: Our next question comes from Brett Fishbin with KeyBanc Capital Markets.
Brett Fishbin: Just wanted to start with a follow-up on the OUS Artegraft launch again. Just we saw a really significant upside to your original expectations in 2025, the year coming in at $4 million rather than $2 million. I wanted to just double-click on where you saw the outperformance. Just curious like on what countries are performing the best. And then just thinking about the $10 million guidance for 2026. Just curious on your approach to that, just thinking about the sequential progression in the past 2 quarters, like where it seems to be heading, if you view that as maybe a conservative approach to the year-over-year ramp?
George LeMaitre: Okay. Great. So the first part of the question is what countries. And it does feel like it's most of a Central Europe type thing right now, and I would call out what we call DACH, Germany, Austria, Switzerland. And then also, I would say, Holland has been -- or Netherlands, if you will, has been really good. So maybe that's the strength so far. And it's just getting going in our very strong markets of Italy and Spain. We were trying to figure out should we allow them to have consignment. And we weren't going to do it and then all of a sudden, we changed, we decided to do it. So we're starting to ramp up specifically in Italy and Spain. And then in the U.K., we really haven't gotten going as strong as these other places. So I think you've gotten Central Europe really off to a fantastic start. And now you have Southern Europe, which we define as sort of France, Italy, Spain, and then Northern Europe, which is the U.K., the Nordics, to give, if you will. So I think you have a long, long way to go here, and we're not going to get involved in what inning we're in, because we always get ourselves in trouble doing that. But it feels like you've got a long way to go. As for quarterly cadence, we thought a lot about it, and we decided to skip the hoo-ha of all that and just give you yearly number. We really don't feel comfortable guiding on one product line. They're so small versus Europe Artegraft, what is it, $10 million this year versus $280 million for the whole guidance. We don't want to get too zoned in on that topic. So we're going to give you $10 million and try not to break it down for the quarters. But still a nice answer. You're going to pick up $6 million in growth from that product line in Europe alone -- sorry. And then also to isolate, it's mostly a European and South African thing, and it's not as much in other places so far. You have Canada to give, you have Australia to give, you just got the approvals, but it's really a European and South Africa thing right now.
Brett Fishbin: All right. That was super helpful. And then I'll ask one other question. I think it was more of a topic on the last earnings call, but just wanted to ask about the overall health of the APAC market. You commented on China already, but it looks like a bit of a bounce back quarter here. And just curious if you're still seeing any signs of softness in certain countries or back to business as usual in '26?
George LeMaitre: Okay. Well, okay. Yes, it was a fantastic quarter. I think it was 20% up organically and reported. So it was a real solid 20%. It seemed like in Q4, everything sort of came back, maybe with the exception of Japan came back a little bit, but not as much as we would have wanted it to. So I would say, I still feel a little softness in Japan, but we're going into the year with all kinds of optimism, because China is now -- in terms of the size of APAC, China is getting there. Korea also had a very specific incident around direct embolectomy catheters and so it's a long story. I'm not going to get into it. And that thing has gone -- that's over now, and we're direct everywhere in Korea now. So you should get some nice action out of Korea as well as China, and that should bring you along here this year, but felt much better in Q4. We'll see what the next 12 months brings in Asia.
Operator: Our next question comes from Danny Stauder with Citizens JMP.
Daniel Stauder: First one, I wanted to ask on the RestoreFlow cardiac call point. It sounded like it accelerated, I believe I heard 90%, and that's after a strong 2Q and 3Q. So I was curious what you saw in 4Q that is driving this performance? And then just more broadly, are there any recent trends in the area that are playing out thus far in 2026 that we should keep in mind here?
George LeMaitre: Okay. Maybe this thing called the Ross procedure is sort of starting to dominate conversation inside of our company. And the sales manager in the U.S. is a fellow who lives in Toronto, and he's been the guy who's generally been building the Canadian business around allografts. He's now in charge of North America. He's been in charge for 1.5 years. And I would say, he's been pushing the cardiac side of allografts a lot harder in the U.S. proper, not just Canada anymore, but in all of what we call North America. We really don't have much of a presence in Mexico. So it's mostly Canada and the U.S. So I would say it's a bit of that. We did a big training course down at Mount Sinai in New York in October around the cardiac device, and that sort of brought a lot of interest to that device. So we're in a spot where we don't have a lot of cardiac sales. So when we sell some stuff, it looks like a lot. But still, it's was nothing 5 years ago, right? We had 0 in sales 5 years ago, and now it is something. So it's been a satisfying run, and I would say it's about the focus on cardiac. The vascular business itself is pretty good, too. It's a lot bigger, but it grew, what, 19% in Q4. So the vascular business is also doing well, but maybe the excitement is around cardiac.
Daniel Stauder: Great. That's great color. Just one follow-up for me. Staying with RestoreFlow, just with the manufacturing transfer of RestoreFlow from Chicago to Burlington, I may have missed this, but should we see this benefit to gross margin in 2026? Is it already in that guidance? Or is this more of a 2027 event? How should we be thinking about that?
David Roberts: Yes. It's probably a slight headwind to margin in 2026 as we ramp up in one location and wind down in another. We do think that we're bringing it here, as we have with other manufacturing transfers, to have it centralized, to have better control over it, whether or not it improves gross margins long term. I mean, I think that's our hope, but we'll get it transferred first and think about 2027 when it comes. But all the costs are fully baked into our 2026 guidance.
Operator: Our next question comes from Jim Sidoti with Sidoti & Co.
James Sidoti: A couple of modeling questions. The 2026 guidance, can you tell me what you're assuming for tax rate and share count?
Dorian LeBlanc: Yes. Tax rate, I can give you, we had a Q4 '25 tax rate of 23.2%, and that was the same for the full year, 23.2% for 2025. So that's probably a pretty good number to plug in for your 2026 models. Share count, it doesn't change a whole lot, just the option activity. We'll hit publish on the 10-K in the morning, and I think you can pick up the numbers from there, or we can get them to you offline if you need them earlier.
James Sidoti: Okay. It looks like it was down in the fourth quarter. I mean, is that a good number for 2026?
David Roberts: If you're looking at it being down off of '23, remember -- off of Q3 rather, remember in Q3, we had this nuance where because of the excess income from the tax credit, we actually flipped from the convertible being excluded to being included. So we had to take the dilutive impact of that. So it was a little bit wonky on the onetime. So the Q4 number is the right number to look after.
James Sidoti: Okay. All right. And then you talked about RestoreFlow in Ireland. Is that approved already?
George LeMaitre: No, it's not, Jim. You're right to call that out. We had expected approval by the end of Q2 at the last call, and we're now calling for approval in Q3. The filing was a little bit delayed. It will go in, in March, and it was supposed to -- we thought it was going to go in earlier.
James Sidoti: Okay. All right. And then you've also talked about the headwind to consolidate Chicago into Burlington. Is that significant? Or is that $1 million, less than $1 million, more than $1 million? Can you give us some sense on that?
Dorian LeBlanc: I think we'll say, it's fully baked into the guidance, and you can see we've got a pretty consistent gross margin guide here, 72.1% for the quarter, 72.1% for the year. So obviously not having a material impact.
James Sidoti: Okay. All right. And then the last one, can you give me the operating cash flow in the quarter?
David Roberts: Cash from operations was $23.1 million. CapEx was $1.8 million. Free cash flow of $21.3 million.
Operator: Thank you. Ladies and gentlemen, that concludes today's conference. I would like to thank you for your participation, and you may now disconnect. Have a great day.